Operator: Ladies and gentlemen, thank you for standing by. Welcome to MeridianLink's Third Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker today Gianna Rotellini. Gianna, please go ahead.
Gianna Rotellini: Good afternoon and welcome to MeridianLink's third quarter fiscal year 2023 earnings call. We will be discussing the results announced in our press release issued after the market closed today. With me today are MeridianLink's Chief Executive Officer, Nicolaas Vlok; Chief Financial Officer, Sean Blitchok; and President, Go-To-Market, Chris Maloof. Before we begin, I'd like to remind you that today's conference call will include forward-looking statements, based on the company's current expectations. These forward-looking statements are subject to a number of significant risks and uncertainties and our actual results may differ materially. For a discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's earnings release and the other reports and filings we file from time to time with the Securities and Exchange Commission. All of our statements are made based on information available to us as of today, and except as required by law, we assume no obligation to update any such statements. During the call today, we will also refer to both GAAP and non-GAAP financial measures. You can find the reconciliation of our GAAP to non-GAAP measures included in our press release, which is posted to the Investor Relations section of our website. With that, let me turn the call over to Nicolaas.
Nicolaas Vlok: Thank you, Gianna. Good afternoon, everyone. Thank you all for joining us for our third quarter 2023 earnings call. I'm proud to report that Q3 was another solid quarter of execution. Through the MeridianLink One platform, we continue to provide an end-to-end digital lending solution to our customers to best serve their clients. Our leading position in the market is all thanks to the dedication and expertise of the entire MeridianLink team. While we are continuing to monitor the impact of macro conditions, there are a few key drivers of our business that have not changed and help us deliver consistent performance quarter after quarter. We have a talented Go-To-Market team capturing strong new logo and cross-sell demand for a seamless digital lending solution that is designed to accelerate growth. We are also continuously improving the platform capabilities of MeridianLink One through product innovation and value-added partner integrations. These drivers are evident in our results. In Q3, our GAAP revenue grew 7% year-over-year to $76.5 million at an adjusted EBITDA margin of 39%. This represents total revenue in line with our guidance range and a solid beat on profitability driven by successful cost discipline in the quarter. We consistently achieve profitable growth as we execute on a platform strategy that captures the entirety of the consumer's debt wallet for customers. As borrowing needs evolve, it remains our goal to help our customers win and retain consumers by providing a personalized frictionless lending experience. On that note, let's move to our Q3 updates on the three areas of growth acceleration, focus on the platform strategy that field our performance. First, engaging more deeply with our customers. Second, expanding the capabilities of the platform and third, empowering customers to grow more quickly and better serve their communities. Starting with customer engagement, our Go-To-Market team achieved another strong bookings quarter and won an impressive roster of new logos. We continue to see the top financial institutions now sweet spot turning to MeridianLink to reach their digital transformation goals. Q3 was a solid bookings quarter in total mortgage lending. This is a fantastic achievement by the team that demonstrates the success in cross-selling MeridianLink One at a time when mortgage rates are at the highest they've been in a generation. We continue to see our most innovative customers investing to transform their mortgage lending processes as they anticipate a recovery in volumes. On that note, I'd like to highlight a platform sale win in the quarter from a 2 billion AUM bank that signed on both MeridianLink Consumer and Mortgage to replace their existing disparate systems. Through MeridianLink One, the customer is now using our patented debt optimization tool that empowers loan officers to maximize acceptance rates, boosts cross-sell opportunities, and deepen their relationships with clients. We continue to engage with both banks and credit unions that see the value in choosing our consumer and mortgage modules together to accelerate their digital lending strategy. Another impressive win in the quarter resulted from our engagement with a 500 million AUM credit union. We chose MeridianLink Consumer home equity and account opening to streamline the lending process. This was a key high value win in Q3 that reinforces our leadership position in the industry. We provide a differentiated platform that transforms the entire lending and account opening process to be more automated and personalized for the consumer, which in turns creates more deposit and loan growth opportunities for the customer. Our customers remain the focal point of everything we do, and our ongoing engagement through our go-to-market efforts reflect this commitment. As we serve more customers with greater efficiency, we accelerate growth for the business. Turning to our second area of growth acceleration, expanding the capabilities of the platform through product innovation. Critical to our sales motion, we are focused on improving the capabilities of MeridianLink One to drive our customer's digital lending strategy. To remain resilient today, we have seen our customers focusing on key strategic areas, such as providing personalized support for consumers and adopting a real-time financial processes informed by data and analytics. We recently announced our new point-of-sale solution for account opening and loan origination. MeridianLink Access, for the MeridianLink consumer and mortgage modules available through MeridianLink One. Driven by the demand for a more personalized consumer experience, MeridianLink Access provides enhanced configurability enabling customers to quickly fine-tune their consumer facing processes with better control. By leveraging a new POS that maximizes engagement, customers can capture more demand and accelerate growth. We've also been innovating in our data analytic solutions to provide our customers with actionable insights for optimizing their lending processes. For example, we announced a new data solution, MeridianLink Data Connect, which enables financial institutions to integrate their MeridianLink Consumer and account opening data directly into their own business intelligence dashboards, allowing for more insightful reporting. In today's consumer driven market being able to gain greater insights from multiple data sources and easily access key learning in one place helps our customers serve more clients faster, driving the business forward. In Q3, we also expanded the connective capabilities of MeridianLink Insight, our interactive business intelligence solution to integrate with MeridianLink Engage and MeridianLink Collect. Through this integration, engage customers are driving campaigns and developing stronger leads from more applicant data with an improved ability to track campaigns and progress. Collect customers have better visibility of their clients delinquencies to provide a clear path forward for maintaining client relationships. These examples of innovation demonstrated team's dedication to expanding our platform capabilities to support our customer's strategic initiatives. Finally, our third area of focus for growth acceleration is centered around our ability to empower customers to compete grow and succeed in the markets in which they participate. We've been very successful in empowering our customers to capture a greater share of their client's debt wallet through MeridianLink One. This highlights a critical component of our platform strategy. The capability to increase the adoption of modules among our current customer base, while fostering enhanced connections with numerous partners to amplify the value of our comprehensive lending platform. Starting with strong cross-sell wins in the quarter. One of our existing MeridianLink Collect credit union customers with AUM of 400 million added MeridianLink Consumer opening and indirect lending to offer a more diversified connected lending experience for the consumer. Through these additional modules, MeridianLink will recognize over five times the amount of ARR from the customer. This is a perfect example of how the cross-sell motion that we've invested in to date can multiply our revenue over time, accelerating growth as our platform strategy gains traction in the market. We were also excited to sign a multi-module deal with a 200 million AUM credit union who currently uses MeridianLink Consumer and added MeridianLink Mortgage, business lending and business account opening in the quarter. In this example, the differentiated lending capabilities of MeridianLink One enable the customer to balance liquidity and achieve strategic growth initiatives, while also wining shares from larger players in the market. Moving to our new partner integrations. We are hyper-focused on teaming up with the most innovative players in the digital lending space to empower customer growth. First, we expanded our capabilities with Experian, the world's leading global information services company that we've had the pleasure of working with over a decade. MeridianLink customers can now integrate with Experian Verify, which provide lenders with real-time access to verified income and employment information. We also enhanced our MeridianLink consumer and decision lender integration with Experian PowerCurve origination essentials. The company's automated decisioning engine. From the initial verification process to approving the loan, we have leveraged the power of our partner network to streamline the lending process for customers. Another partner announcement in the quarter was with Socure, a provider of digital identity verification and fraud solutions. MeridianLink One, customers can now securely verify and onboard more consumers in real-time, eliminating friction at signup while blocking fraudulent applicants. This is a great example of how we are merging MeridianLink One, which was built to generate AI and automation across solutions with innovative AI technology from partners. We have a mutual goal with our partner network to empower the digital transformation of our customers, further improving their ability to quickly process volume. I'd like to end on an exciting enhancement to a longstanding partner integration with Cox Automotive's Dealertrack, a comprehensive suite of indirect lending solutions for the industry's larger dealer lending network. This enhancement takes our existing integration, which expedites credit applications and decisions between dealers and lenders, and delivers a comparable level of speed to the contracting process. With digital contracting, lenders can speed up funding by increasing accuracy and compliance resulting in accelerated growth. I want to close where I began and thank the team. Their focus on empowering our customer success is the driving reason that MeridianLink continues to deliver consistent growth and healthy profitability levels. While there are macro factors out of our hands, we have strengthened our position as the leader in an extensive consumer lending market, and we still have a long runway to take share. We will continue executing on our strategic initiatives that are designed to serve more customers with greater efficiency, which we expect will help accelerate growth for the business and increase value for stockholders. With that, I will now turn the call over to Sean to talk about our financial results and guidance.
Sean Blitchok: Thanks Nicolaas, and good afternoon to everyone. Before I dive in, I'd also like to take a quick moment to highlight the phenomenal teamwork and execution demonstrated this quarter. We anticipated the market headwinds that our customers would face through the year, and the team has remained steadfast in serving customers with best-in-class services and support to position their businesses for growth. Not only are we focused on customer success, but we believe we also have significantly invested in the future success of MeridianLink. We continue to put the talent and processes in place to fuel our next phase of profitable growth and scale. It's now a matter of executing on these strategic initiatives while maintaining our cost structure. That's exactly what we did in Q3.  MeridianLink performed in line with our revenue guidance at $76.5 million, growing 7% year-over-year. Additionally, we achieved an adjusted EBITDA margin of 39%, well above the top end of our guidance range due to the combination of cost discipline and the initial payoff of our strategic investments. Turning to financials. To begin, let's look at revenue. First, specifically breaking down software solutions. Our total lending software revenue accounted for nearly 77% of total revenue and grew at 12% year-over-year. As the primary driver of our lending software solutions, non-mortgage lending revenue contributed 88% and grew 6% year-over-year. Mortgage related revenue within lending software solutions inclusive of OpenClose accounted for the remaining 12% of the total. Turning to data verification software solutions. Revenue accounted for nearly 23% of total revenue and decline 9% year-over-year. This was driven by a 17% decrease in mortgage related revenue, which represents 57% of total date verification software solutions. In Q3, total mortgage related revenue was up 11% from last year and generated 22% of overall MeridianLink revenue. Last quarter, we adjusted our expectations for mortgage volumes to recover at a slower pace in the second half of the year as indicated by industry sources. While this gradual recovery played out in Q3, we stayed focused on what we can control. Our platform strategy of cross-selling mortgage lending to our consumer lending depository customers was successful, as demonstrated by the go-to-market wins in the quarter. The other 78% of our business continues to grow, which is primarily led by the demand from our installed base for a suite of end-to-end consumer lending capabilities. This brings me back to the power of the platform. MeridianLink One caters to the evolving lending needs of the consumer. As customers add on modules, they're primed to grow even in the most challenging lending environments, which in turn increases the revenue opportunity for MeridianLink. Moving to profitability. Accounting for stock-based compensation GAAP gross margin was 65%. Adjusted gross margin in Q3 was 72%, representing a 300 basis point improvement year-over-year, driven by increased productivity of our services team and technology stack. Before turning to operating performance in the quarter. I'd like to break down the year-over-year change in our operating expenses. Compared to the third quarter of last year, G&A increased 8% on a GAAP basis and was flat on a non-GAAP basis. R&D declined 2% on a GAAP basis and increased 1% on a non-GAAP basis compared to the third quarter of last year. And on a GAAP basis, sales and marketing increased 50%, while on a non-GAAP basis sales and marketing increased 44% compared to the third quarter of last year. The growth across our non-GAAP operating expenses was primarily driven by additional headcount and increase compensation costs to fuel our go-to-market efforts. We continue to selectively invest in talent and technology that supports our next phase of growth. Turning now to our overall operating performance. GAAP operating income was $5.6 billion and non-GAAP operating income was $14 million. On a GAAP basis, net loss was $2.1 million or a negative 3% margin, and on a non-GAAP basis, adjusted EBITDA was $29.8 million, representing a margin of 39%. This represents an improvement of approximately 300 basis points on a sequential and year-over-year basis, driven by cost savings initiatives and ramping down non-critical spend. Now turning to the balance sheet and cash flow statement. We ended the third quarter with $97.6 million in cash and cash equivalents, a decrease of $11.3 million from the end of the second quarter, but driven by $30.7 million worth of share buybacks. Cash flow from operations was $21.3 million or 28% of revenue, and free cash flow was $18.8 million or 25% of revenue for the third quarter. We continue to generate cash levels and provide protection in this period of uncertainty, while enabling capital allocation opportunities for us to build value for our stockholders as seen by the strategic buybacks executed in Q3. I'll now pivot to guidance for Q4 and for the full year 2023. We've been guiding to a second half recovery in volumes, which is a key driver of our transaction based business model. As a reminder, we expect same-store volume growth to contribute mid single digits to our overall mid-teens growth algorithm in a normalized environment. In the current lending environment with the delayed recovery in mortgage and coming off of highs last year in consumer, we're experiencing a drag in same-store volumes as a result of credit tightening. Aside from volumes, there are additional performance drivers in our control that we have been hyper-focused on to support current and future growth. As we finish out the year, we'll continue capturing new logos and cross-sell opportunities, accelerating ACV release and enhancing MeridianLink One to sharpen our customer's competitive edge in the market. On that note, we are reaffirming revenue guidance for the full year 2023. For the fourth quarter, estimated total revenue is expected to be between $73 million and $77 million compared to $70.6 million for the same period 2022. This represents an estimated year-over-year increase of 3% to 9%. For the full year 2023, we expect total revenue to be between $302 million and $306 million compared to $288 million for the same period in 2022. This represents an estimated increase of 5% to 6% year-over-year. For the mortgage related revenue, we expect the mortgage market to contribute approximately 23% of revenue for the full year 2023 compared to 23% for the full year 2022. To provide more color around the growth drivers in our total revenue, the mortgage related revenue guide implies a continued decline in data verification revenue, given the impact of tough comparables in 2022. With the inclusion of OpenClose, we expect our lending revenue will more than offset the data verification drag in 2023, ending the year with low single digit growth in total mortgage revenue. On the non-mortgage side, we continue to expect data verification revenue to be flat year-over-year as a result of headwinds in the employment screening market coming off of post pandemic hiring. Understanding these dynamics, we expect consumer lending will continue momentum in 2023 just at a slower pace compared to last year. As used car prices appear to be softening and our customers are weighted towards used auto lending, we expect a slight uplift in volumes in Q4 that will continue in the next year. Now turning to the adjusted EBITDA guidance. On a non-GAAP basis, fourth quarter estimated adjusted EBITDA is expected to be between $22 million and $26 million, representing adjusted EBITDA margins of approximately 32% at the midpoint. For the full year 2023, we expect our adjusted EBITDA range to be between $104 million and $108 million, representing adjusted EBITDA margins of approximately 35% at the midpoint. Our adjusted EBITDA guide reflects the continued operating discipline in areas that do not contribute meaningfully to growth acceleration. Over the last couple years, we have made strategic investments to build the foundation for future scale. We are now at the point of continuously optimizing our cost structure to support incremental growth, which will in turn drive margin expansion as volumes impact the bottom line. I'd like to end on what we believe is consistently proven out quarter after quarter. MeridianLink has a team that can execute well through market volatility. We also have a resilient customer base who's focused on investing and the lending capabilities needed to best serve their clients. This resilience of our customers was evident in the global financial crisis throughout the COVID related downturn, and has proven to be true in the recent unprecedented market dynamics. With the investments we have made in place, MeridianLink is well-positioned to strongly finish out the year and sustain profitable growth in years to come. With that, Nicolaas, Chris and I are happy to take any of your questions and I'll turn it over to the operator.
Operator: Thank you. And ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Parker Lane from Stifel. Your line is open.
Unidentified Analyst: Hello, this is [technical difficulty] for Parker. Thanks for taking my question. To start off, could you provide a little extra commentary around your mortgage solutions? Are you seeing any new customers in that segment contributing to volumes at all? And what impact are you seeing on volumes from higher interest rates through this past month? Thank you.
Chris Maloof: We continue to see new logo wins, as well as cross-sell wins within our mortgage business. On a year-over-year basis, outside of one large deal in the first three quarters of last year, we're ahead of last year in terms of bringing on new clients, positioning us for the future. It's been a really good year in that regard, and I think it speaks to us executing on the thesis we had with acquiring OpenClose.
Sean Blitchok: Yeah. And I would just add. This is Sean. I would echo Chris's comments that the cross-sell motion with mortgage has been very successful. We -- so we're seeing -- we're seeing consumer to cross-sell wins, which is kind of the -- a major building block of the platform strategy going forward. On the -- specifically on the volume question, we're outperforming MBA. We're outperforming the broader market. But mortgage had -- I mean, our mortgage volumes have been a headwind, and continue to be a headwind for sure. I think our pricing model with the minimums, and give insulation to some of that volume downside. But certainly we're -- it's starting to pick up, but it's still a headwind nonetheless. So Q2, Q3 has come off the floor, or we've seen -- the trough I think has behind us. Q2, Q3 has been better in terms of volume results. And we expect that to continue into Q4 and into FY 2024.
Unidentified Analyst: Okay. Fantastic. Thank you very much.
Operator: And your next question comes from the line of William McNamara from BTIG. Your line is open.
William McNamara: Hi. Thanks for taking my question. This is Bill on for Matt. I wanted to know, I guess, how significant is the friction reduction with the recently announced Experian Verify partnership, kind of compared to what was available before?
Chris Maloof: The new integrations discussed, including the one that you highlighted, represent our efforts to expand our client's abilities to profitably lend down market. So as you think about our client base, and one of the things that makes us resilient is the fact that our customers tend to lend to AAA consumers. That said, our customers also want to serve the broadest base of their community as possible. And our new advanced decisioning solution that we announced earlier in the year allows our clients to layer in these different verification services so that we can reach -- we can enable our clients to reach these audiences profitably and with confidence. So we have a number of solutions in that category that enable that type of capability.
William McNamara: Okay. Great. Thanks for taking my question.
Sean Blitchok: Thanks Bill.
Operator: Thank you. Your next question comes from the line of Nik Cremo from UBS. Your line is open.
Nik Cremo: Hey, good afternoon guys. Thanks for taking my question. I just wanted to get an update on how the backlog has trended since Q2 between new logo and cross-sell, and if you could provide any update on lending volumes that you've seen in October. Thank you.
Nicolaas Vlok: Hi, good afternoon. It's Nicolaas. We've -- since the beginning of the year when we've restructured our sales or our services organization and created practice areas, we've seen a continued increase in productivity and ability to deliver. We have come off a really strong bookings quarter again, which contributed to building backlog, but we pretty -- making pretty good progress and we'll continue to make progress in the back half of the year. I think we're going to exit the year probably at lower than last year from a backlog standpoint. But we will carry some backlog. And it -- there will be some healthy backlog we're carrying into 2024. But the team has been fighting on all cylinders and pretty successful in delivering implementations today.
Sean Blitchok: Yeah. Nik, this is Sean. You asked, I believe, about volumes as well. In general, trending at the slight recovery that we thought in particular for mortgage and for auto. Auto is a little bit slower than hoped. I think the dynamic is of pricing coming down in the used auto market, supply recovering in the new auto market is definitely happening. It is just a little slow, but we're -- that will continue in Q4. The rest of consumer is at forecast and so our Q4 total guide will be -- will yield approximately mid single digit growth. And so I don't think we're in a bad position from a volume perspective all in, but we definitely have a launching pad for a lot of future volumes.
Nik Cremo: Got it. Thanks for all the color. That's very helpful.
Sean Blitchok: Yeah. Thanks Nik. 
Operator: Thank you. Your next question comes from the line of Koji Ikeda from Bank of America. Your line is open.
Natalie Howe: Hey, this is Natalie Howe on for Koji. So you guys executed in terms of mortgage lending and you talked about cross-selling, really helping drive that there. Could you dig a little deeper into the Automotive segment? I know you said it's slower than you hoped, but you're taking the reacceleration into account for next quarter, so I wanted to see how that was tracking compared to expectations. And along with that -- what are reacceleration expectations for account openings and personal loans playing out? Thanks.
Chris Maloof: We continue to see an uptick in, in new vehicle sales as inventories recover. And the incentives that are following that as lender -- as automakers are looking to offload those lenders is putting pressure on used auto, which continues to lag. All that being said, we're starting to see early indications of a recovery specifically around the wholesale used prices are starting to decline month over month, which is an indication of future success in the coming quarters. And then the other element, just keep in mind, new vehicle sales represent about 25% of our lending volumes and also represent an opportunity in the future as all those vehicles come off lease and enter the used auto market, that's another opportunity for the business in the future of our customers.
Natalie Howe: Got it. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Alex Sklar from Raymond James. Your line is open.
Unidentified Analyst: Hi. This is Jessica [ph] on for Alex. Thanks for taking my question. I just wanted to -- like as we're entering 2024, what's on the product roadmap for next year and beyond, like what areas are you most excited to invest in and that customers are interested in? And as you're thinking about the investment, is there any changes or your headcount that you're expecting for next year? Thanks.
Chris Maloof: Our investment strategy remains unchanged. So it's all about automation, speed, and personalized decisioning. So all of our roadmap items align to those three categories, all designed to help our customers out -- compete for consumers. And it can be a little different by loan type. We'll have more announcements to come in the coming year on what our new release schedule looks like. But more recently we did a lot -- we did announce the launch of our MeridianLink Access product, which enables our customers have more flexibility in how they streamline their process for consumers is as they enter the digital channel.
Sean Blitchok: Yeah. And just quickly on the headcount, what we're tracking to our headcount number in FY 2023 and we'll talk more about FFY 2024 headcount in our guide upcoming.
Operator: Thank you. And there are no further questions at this time. I would like to turn it back to MeridianLink team for further remarks.
End of Q&A:
Nicolaas Vlok: Well, thank you for attending the call today. As we close, I want to explain the final thank you to our team. There are consistent, strong performance distinguishes MeridianLink from the competition. In fact, I'm proud to share that in Q3 IDC included MeridianLink in the top 50 of its 2023 Global FinTech 100 list. This achievement would not be possible without the strength and innovative spirit of our team. I'm proud of the solid performance and thanks again for joining us today.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.